Operator: Good morning and welcome to the Enzo Biochem Inc. Fourth Quarter and Full Year 2015 Operating Results Conference Call. I will now read the company's Safe Harbor Statement. Except for historical information, the matters discussed in this release may be considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Such statements include declarations regarding the intent, belief or current expectations of the company and its management including those related to cash flow, gross margins, revenues and expenses are dependent on a number of factors outside of the control of the company, including, inter alia, the markets for the company's products and services, cost of goods and services, other expenses, government regulations, litigations and general business conditions. See Risk Factors in the company's Form 10-K for the fiscal year ended July 31, 2014. Investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve a number of risks and uncertainties that could materially affect actual results. The company disclaims any obligations to update any forward-looking statement as a result of developments occurring after the date of this press release. During this conference call, the company may refer to EBITDA, a non-GAAP measure. EBITDA is not and should not be considered an alternative to net loss, loss from operations or any other measure for determining operating performance. The company has provided a reconciliation of the difference to GAAP on its website, www.enzo.com and in the press release issued last night. Our speaker today is Barry Weiner, President. At this time, all participants have been placed on a listen-only mode and the floor will be opened for your questions and comments following the presentation. I would now like to turn the floor over to your host. Mr. Weiner, the floor is yours.
Barry Weiner: Good morning and thank you for joining us today. With me is Jim O'Brien, our Executive Vice President of Finance, and David Goldberg, our Vice President of Corporate Development. You will have to bear with me a bit this morning as I have a bit of chest [indiscernible] to speak as clearly as I can and try not to overwhelm you with my hoarse voice. This morning we distributed the report of our results for the fourth quarter and full fiscal year of 2015. Subsequently, we also distributed another press release detailing an agreement with Affymetrix reached over this past weekend announcing the settlement of an action we brought in Delaware. As the reading of both press releases suggests, we are executing in our business strategy - quarter’s performance while also gaining recognition of our technology and platform contribution to the industry. We continue to build on the historical strength of our research vision and special technological skills as we are positioning Enzo to meet the challenges and the opportunities of a dynamically evolving healthcare market as most of you are aware. For one thing our strong financial results for the quarter underscored the benefits we are achieving by integrating our operating divisions to create an enterprise that can uniquely utilize wealth of technology development that has been created over the years and employing it in a new targeted diagnostic, specifically molecular diagnostic platform, as well as other products that will address the needs of this evolving marketplace. Our strategic focus is the development of enabling approaches into research, manufacture and marketing of innovative healthcare products, diagnostic platforms and services all based on molecular and cellular technologies. Enzo has unique aspects in how it is approaching this market specifically our vertically integrated operating structure truly differentiates us from others within the industry, as we are able to take products from concept research to development, manufacturing, validation and marketing addressing both products and services globally, this is somewhat of a unique approach. In this manner, we can offer solutions that are not only affordable but technologically differentiated into the marketplace. The impact of both improving operations and resolving litigation is resulting in solid and growing financial results, a strengthened balance sheet with ample cash and virtually debt free capital structure with which we can continue to profitably pursue the future development of Enzo’s many technological strengths. I’d like to review our fourth quarter and fiscal 2015 financial results first as well as provide you with a short update of our legal activities. Following these remarks, I will provide some color as to our business strategy. On a sequential basis, total revenues were up a solid 7%. This reflects exceptionally strong performance at Enzo Clinical Labs, which posted 11% gain year-over-year and 10% sequentially. Of significant importance the gross margin in the clinical lab was 39%, a 500 basis point improvement over the prior year period. We’ll have more to say about the lab in a bit. Life Science product revenues, while down 4% from the quarter from the prior year period as a result of foreign currency headwinds and lower customer orders was up 2% sequentially. The timing of customer reordering patterns is about even with last year on a constant currency basis for the three month period. As we stated last quarter and the trend continues into this quarter, our top 200 Life Science products, which represent roughly about 50% of revenues continue to achieve strong volume growth. However, weakness in the small molecule segment along with reduced ordering in international markets and foreign currency fluctuations accounted for the difference. Consolidated margins of 44% were the same for both periods. Sequentially, GAAP net income improved by over $11.3 million to approximately $8.4 million from the prior quarter’s loss of $2.9 million. EBITDA improved by $11.6 million to $9.6 million. Both the net income and EBITDA improvement was largely attributed to improved operating results by each segment and legal settlements of $11.3 million. You should note that these results do not include the Affymetrix agreement announced this morning. On an adjusted basis, which is adjusted for legal settlements, certain related legal fees and compensation factors, the net loss amounted to $2.6 million for the quarter as compared to a year-ago loss of $2.8 million. You should note that more than half of the adjustments were related to legal costs that are due to our continued effort to obtain value from our products and technology as they are embodied in our intellectual property estate. Our cost of goods sold was higher in the quarter compared to prior year reflecting increases in product revenue in Clinical Lab testing services. Once again, this quarter, both operating units, the Lab and Life Sciences were each profitable during the quarter and cash flow positive which augers well for [indiscernible]. Legal expenses were lower in the current quarter both over the prior-year and sequentially. After settling the Affymetrix cases, we announced this morning we will be recorded in the fiscal first quarter of 2016 ending October. We now have a total of nine remaining ongoing cases in Delaware. Our investment in protecting both our intellectual and contractual rights continues to vary depending on the level of legal activity and ongoing litigation. In the last two years alone it’s worth noting legal settlements have now totaled over [indiscernible]. Cash generated by operations in the quarter amounted to $4.5 million, again reflecting solid performance of the operating segments, as well as cash received from settlements. During the quarter, we also invested over $600,000 in capital in information technology solutions, new diagnostic equipment and other capital expenditures related to developmental projects designed to enhance capabilities and to promote this investment support Enzo’s ability to provide leading-edge products and services that I spoke about earlier. Cash and cash equivalents were over $18 million at the end of July 2015 and working capital was $22.5 million. As you can see, we ended the fiscal year with a very strong balance sheet which will provide Enzo the ability to continue to invest in growing its core business in molecular diagnostics. I’d like to make some comments about the industry trends and reflect how our company is positioning itself with these changing market needs. As you know, the healthcare market is in a period of change in evolution. Molecular testing, especially is growing at more than 10% per year, more than twice the rate of other clinical testing, but at the same time the entire market is experiencing ever increasing downward pressure on reimbursement. While commercial payers continue to press especially those not affiliated with hospitals for lower and lower fees, the Federal government has begun to rule out the most sweeping changes in laboratory reimbursement in more than 30 years. The Protecting Access to Medicare Act of 2014 or PAMA will reset the entire laboratory fee schedule to a market based one over the next several years, resulting in further cuts to laboratory reimbursement fees. As a result, clinical labs that are currently struggling in today’s environment will need to rethink their strategy to survive. Since clinical labs are by their nature a high fixed cost business, they have to look to their variable cost for any hope for economic relief. The problem with this is that for year-after-year labs have tried to control variable cost by focusing on labor expenses. Advances in specimen handling as a result of robotics, logistics as a result of tracking and route optimization software, and throughput as a result of other technological advancements have increased productivity per lab employee. However, the industry has reached a point where labor savings are becoming harder to achieve as a result of mandated staffing levels. The other material variable cost that labs have is the cost of reagents needed to run their tests. In many labs this is 20% or more of total revenue. The issue here is that many of the lab suppliers, especially those providing molecular assays are large organizations that have been unwilling or are perhaps unable to reduce prices. These molecular diagnostic companies tend to be single platform centric with a large research spend punctuated by the need to obtain licenses for intellectual property, a key cost element that I will detail in a few minutes and as a result produce in market what we call closed systems that is reagents and kits that work only on the instrumentation with which they are sold. The result is that these companies force their laboratory customers into capital intensive and/or long contracts which preclude them from obtaining products from other more cost effective vendors. Thus the labs are being forced into a gross margin squeeze that gets tighter year-after-year. Enzo is different. Our unique structure and technological capability not only allows us to address these challenges in our own operations, but is part of our strategy we are positioning to provide solutions for other clinical laboratories. Our plan is to provide products and or services to clinical laboratories that are affordable and reliable and that utilize the best available open system technologies. We have begun to premarket our initial products and the feedback has been positive as we move to enable labs with the ability to provide services in a manner that will allow them to generate acceptable gross margins. We view this as an opportunity in a market that we estimate to be nearly $2 billion. In line with this goal, we plan to roll out over the next number of quarter’s products and services, utilizing our proprietary enabling platform technologies for women’s health infectious diseases, viral load quantification, and the identification of various cancers utilizing gene expression analysis among other. Our solutions will allow clinical lab customers to refer specimens to Enzo’s laboratory that they are currently sending to perhaps other outside labs, but at a price that will allow them to turn reference testing from a loss to a profit centre, or if they have the internal capability to purchase from us our products that are manufactured to the highest standards that have been found over years of production experience to run them internally. In either case, we believe that we can work with clinical labs to allow them to serve their clients increasing molecular needs, while allowing them to grow themselves. How do we accomplish this? Our successful history of platform development and the accompanying patents they’d associated with it allows us the freedom to market and sell these products without the royalty burden that the vast majority of molecular products carry. With a clear pass to market, we are able to gain a higher return on our research and development dollar. Moreover, Enzo over the past 8 to 10 years or so has made major investments in building and expanding key components of our infrastructure. We now have an effective manufacturing and marketing operation that allows for the efficient production of key products that are used to provide these services. We have already built a global marketing team that is able to quickly reach key decision makers. Enzo is continuing to invest and as I indicated earlier in capital projects that will provide us with even more operational efficiencies, which in turn will allow us to offer our service and products in a cost conscious manner. Before I turn the call back to our operator for questions, I’d like to summarize our call today. The quarter’s operating results shows the potential of our business strategy and as such our company now is in a strong financial position. Our settlement with Affymetrix today demonstrates another event in realizing the value of our research and development activities and capabilities with Enzo being further recognized for its technological achievements that will broadly contribute to product activity in our marketplace. As we enter into fiscal 2016, we expect acceleration of product development and market penetration for both products and services leading to financial results that will ultimately drive shareholder value. It has been an extremely productive year for us at Enzo. We are pleased and empowered as we move forward into the next year to see the introduction of products that we think will reshape and benefit the healthcare marketplace. On that note, I’d like to turn the call over to questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from the line of Per Ostlund of Craig-Hallum Capital.
Per Ostlund: Thanks, good morning guys and congratulations on the solid end to the year. A few different questions for you, I’d like to start with the Lab, the Lab performance here in Q4 was really quite strong as you noted, kind of looking ahead to 2016 fiscal year coming out of the Q4 with an 11% plus gain on top of a 10% gain in Q4 a year ago, I’m just wondering sort of what are you looking at as the drivers for the continued growth? I know you benefited a good deal from the shift in test type to the molecular in the more esoteric testing from routine, do you see that continuing significantly and what kind of growth rate do you think you can see over the next few quarters absent the contribution of some of the new product activity you’ve got going?
David Goldberg: Per, good morning, it’s David Goldberg here.
Per Ostlund: Good morning.
David Goldberg: Good morning, we expect the growth rate to continue and as you correctly pointed out it has been a shift of the company’s menu to more and more molecular testing, the higher value higher margin testing that we’ve been focusing on. We think that one of the drivers of continued growth in addition to that will be our ability to service as a reference laboratory for these molecular tests for other laboratories who currently now don’t have the capability or the infrastructure to be able to run these tests.
Barry Weiner: Per, this is Barry, I have a few other comments too. We have seen over the last year an evolution of our Lab in a very positive way. We have seen the introduction of new internally developed tests such as our FlowScript test, which provides us with not only novel tests, but tests that generate significantly more margin than other source because it is an internally developed and manufactured product. Just as an aside, we are offering - we’ve have just begun to offer FlowScript to other labs around the country. But there’s another key factor. We have been moving the mix of our business as David alluded towards molecular testing that has become very apparent when you look at the numbers that are being produced by the laboratory, the improved margins, the shift in product mix has been dramatic and it’s been dramatic on a number of fronts. Number one, we are beginning to internally test for multiple diagnostic approaches that were previously referenced out to other labs. So, we’re bringing internal testing in-house because the volumes are growing, which allows us to present a more efficient product line in the return to our clients, the physicians. We are also becoming a go-to center for other products developed by other major biomarker and test developers around the world, and this is a very important aspect of the value proposition here. As you are aware, Enzo Clinical Labs is one of the foremost women’s health labs in our region and we are in the highest value diagnostic marketplace in the United States. We have a formidable presence and we have a presence in perhaps what is the most important and largest growing segment i.e. women’s health. We are a company that has a unique channel into the marketplace, every day we are in between 2000 and 4000 physicians’ offices around our region. We are electronically linked to physicians. We drop our informatics into their EMRs, we service these docs. In some respects, we have the logistical reach that one-off developers and providers of tests do not have. We also have the payer relationships, which is key in becoming more crucial and fundamental for success in introducing new products into the industry as a whole. In the last year we have been overwhelmed with parties looking to have Enzo be the partner for either production distribution or logistics for many of the new products that are emerging from the market. It is a key strength, a strength that is giving us more uniqueness and as the market consolidates around us, our presence is becoming more important and more recognized. As a result of that, the Lab is emerging in a very, very positive and strong way. We believe these factors will continue the growth of the laboratory and as we emerge and as our own products, particularly our own molecular systems get approved and become integrated into the laboratory, it will improve our margins, we believe it will improve our revenue run rates and we believe it will make Enzo Clinical Labs a very important factor in the laboratory marketplace in the Northeast.
Per Ostlund: Thanks for all that color. I’m actually grappling with which segue that I should actually utilize because I think you give me a few places that I could go here. I wanted to ask you about the gross margin on the lab side and you alluded to, both you and David alluded to some of this here, but the margin improvement has been just stark and again just continuing to be very, very good and I’m sure a lot of that is the test mix, but you’ve alluded to FlowScript and internally developed products, you’ve referred to some investment in the Lab, I’m just curious as to coming off a year where you’ve seen the Lab gross margin improve by several hundred basis points, do you see several hundred basis points more out there to be gained?
Jim O'Brien: Hi, it’s Jim O'Brien. I think there is. We continue to work on a number of process improvements in the lab. We continue to look for ways to reduce costs, while continuing to provide the highest level of service that Barry referred to in his comments. So, we are seeking additional opportunities and hope to have continued margin growth.
Per Ostlund: Okay. Very good, two other I guess veins that I’ll go down here, so the cash position ended the year nicely $18 million as you said, so just want to clarify a couple of things, does that $18 million include both the Luminex settlement and the upfront on Siemens in totality? I understand how we see the dollars go through the income statement, but I don’t know if that’s the accounting function of the settlement versus the cash function of the settlement and then the other part of it would be do we have any update on the PerkinElmer cash?
Jim O'Brien: So, I’ll take the first part of that and then turn it over to Barry. The $18 million of cash at the end of July does not reflect the Siemens money that we recorded as other receivable on the balance sheet at the end of the year. We received that cash in August. It does include the Luminex cash and as we just announced the Affy settlement is not included in that balance as well. Barry, do you want to take…
Barry Weiner: In terms of the PerkinElmer cash that is still in dialog and we will record it as soon as a resolution is reached and we hope that will be achieved in the near future.
Per Ostlund: Okay. So then on that point and I know that this is probably a sore subject with you guys, but if we got $18 million we still don’t have – there is $9 million that came in post quarter, there is another $10 million from Affymetrix and then there is some function of the PerkinElmer cash that that will come in eventually. Do you – is there a point where you feel like the balance sheet is strong enough that you would make the more public step of actually shutting down the controlled equity offering or is it something you just assume still have out there even as dollars continue to accrue with your balance sheet?
Barry Weiner: I think if you notice from our statements in the 10-K that was filed, the ATM was not accessed this quarter. As we stated – let me continue on that first and if I could, the ATM was put into place to functionally balance off legal expenses during a period of time leaving up to a period where the investment is starting to generate returns. Over the last few months, we started to see the returns from our efforts on the legal front. Obviously the ATM is a vehicle that is – it has been useful to us, it’s been a very cost efficient and modest vehicle for maintaining cash balances during the period when legal expenses were running extremely high. Today, we are in a different position. Our cash is building, our businesses are strong, the return on the investments that were brought forth by utilizing that capital to build our infrastructure and to support the legal structure of the company have proven to be I would say wise and efficient use of capital. Going forward, we don’t have plans to use the ATM. It’s a vehicle which is there, it’s always at our capability but I think one needs to look at the history to appreciate the utility. It was used modestly at a time when it served a very valuable purpose. Its utility is now playing out in terms of the moving forward of cases towards settlements and perhaps ultimately trials if that becomes necessary. I believe as we build our cash position, we will certainly not have a direct need for the ATM and I would just leave it at that. I think it’s – it was a good vehicle at that time, today we are in a different position.
Per Ostlund: That’s entirely fair, Barry and I hadn’t had a chance to see the K, I was pretty sure based on the cash balance and the share count that it hadn’t been utilized in the quarter and I understand the past utility of it. I think it was more of a question of as you have seen those dollars coming in from some of the settlements if you had reached the point or maybe the facility was - had been outgrown and whether or not there would be the actual step of shutting it down versus just keeping it on hand. It doesn’t sound like you would have any reason to actually utilize it, so that is very fair. Last question from me and I’ll sweep the floor, as the Affymetrix settlement was announced, I’m just wondering if you might be able to give us a little bit of perspective given the two that have preceded it with Luminex and Siemens as you size it was this a case that was also kind of among the lower value litigations out there and what is the current status and tender of discussions with the other parties that remain. Thanks.
Barry Weiner: As in any litigation format, I have to be cautious in terms of the commentary that I employ in discussing active legal activities. We’ve now settled three cases in Delaware. I would point you to the fact that there are three specific different patents involved in these cases. I would encourage you to look at the patents associated with each of the settlements and basically infer from them the fact that settlements have been made on most of the given patents that are being employed in these actions. We have cases obviously that have different values associated with them, some larger, some smaller. I refrain from commenting on the size of any given one case that is still somewhat confidential but they do run in a scale from very large, these early cases perhaps fall in the lower spectrum of the value chain but they are all important because they all are symbolic of a recognition of our work, our technology development, our historical investment and the technology contribution that Enzo has made to this industry and today is finally – is getting that recognition via the appreciation, understanding and licensing of these products and technologies. I would say every settlement is an important one because it gives us the recognition that perhaps we were denied in past periods. I look forward to more settlements emerging. The Delaware Court system is relatively fast track as compared to other courts within the United States. This process has now been in-road for almost about 16 months, 18 months. We are looking forward if there are not settlements to trials in these cases in the next year or so. So we are seeing a fulfillment of a process that I think will be very good to us, not only from a financial point of view but also from a perspective of the reality and the recognition that Enzo has made to this industry over the last 25 years or 30 years which has been significant and has been somewhat avoided or ignored throughout the last few years. So we are very excited about where it’s going. I think the fact that you’ve gotten three settlements to date shows that there are parties out there that have come to realize and recognize the patent validities and we hope that this trend will continue and we will recognize the value that we are deemed and appropriately worthy of as we move into the future.
Per Ostlund: Great. Thank you guys. I appreciate taking all of those questions.
Operator: Our next question comes from the line of Norm Hale of Stifel.
Norm Hale: Good morning.
Barry Weiner: Good morning.
Norm Hale: In regards to FlowScript, your HPV Assay was traditionally approved by the New York Department of Health. Are you guys pursuing to get additional indications approved for this product?
David Goldberg: Norm, this is David Goldberg. We are pursuing numerous line extensions within the product. Because this is a laboratory developed test, it is - the approval that we have is basically for the indication that we’ve applied for and in this case it was for the semi-quantitative over expression of E6/E7 genes in liquid based cytology. We are working on a number of different line extensions within the FlowScript family and each one of those we expect to apply to New York State for approval.
Norm Hale: Okay. The FlowScript as you guys state here has helped to improve the laboratory margins which is a good news I mean that’s great news. Will you guys - assuming that you can get some additional line extensions here, will you anticipate that, that will also create a further benefit in terms of margins?
David Goldberg: Norm, absolutely. You have to understand that FlowScript is a platform technology, it’s not a single product and as such we would be – as we bring on additional products obviously that would give us an opportunity to bring additional revenue in and offer our clients both physicians and other laboratories the opportunity to use that technology as well. And the same thing goes for AmpiProbe. AmpiProbe is another one of our key platform technologies and as we continue to move forward with the development process there, we believe the same thing will happen that we’ll be able to achieve both revenue growth as well as margin improvement.
Norm Hale: Okay. Good. David, I have you here on the therapeutics segment of the company, the two programs [indiscernible] along are the Uveitis program and the IBD program. Can you comment about how those are progressing and what you see coming going forward?
Barry Weiner: In terms of the Uveitis program, there is an evaluation of subgroups of subtypes of the individuals involved in that as they try to drill down and look at responders versus non-responders to define the trends that can be delineated from that trial. It’s too early to comment on it. In terms of the IBD program, as you are aware, we’ve had multiple trials. We are waiting to see what may come out of certain components of the Uveitis trial in terms of accelerators that might be included in that particular product that would drive efficacy greater than it was demonstrated in the trial. We are looking forward potentially to the application of this approach into the treatment for macular degeneration. We hope to have more to come into the next few months. So I think that’s about as much as I can say at the moment but we are exploring and looking at extending the utility of this platform into a marketplace that may have some very significant value associated with it.
Norm Hale: I mean it seems to me that some of the research that you guys are conducting is simply not reflective whatsoever in terms of the stock value. I mean you guys are working on something that - some significant potential assuming that the human clinical trials continue to show positive results. I do think you are on to something there. Now relative to the additional capital that you receive from [indiscernible] and also the improving cash flow of the company, this improvement in the balance sheet of the company, the capital that you haven’t – hopefully there will be more settlements that will be favorable but where will this additional capital be put to work? Is it going to be going into more therapeutics, research or clinical lab segment of the company, where is the money going to be utilized to its best degree?
Barry Weiner: The strategic approach that the company has been working on over the last few years has been the introduction of low cost molecular tests to the clinical lab industry and that’s capitalizing on our history of platform development. We’ve just spoken about FlowScript, we’ve spoken about AmpiProbe, these are two internally developed platforms that are targeting the needs within the market for low cost solutions as reimbursements for these types of test keep getting cut. We have a very aggressive program in the AmpiProbe area because we think we have a system which holds extremely high value for the industry on many different levels. We will be investing more capital behind it as we built our capital capabilities. We spoke a little bit earlier about women’s health panel that is under development. It’s a panel that allows testing for up to 14 to 18 different analytes from a single swab, a very, very interesting technological platform that can have economic materiality to clinical labs. It can have benefit to doctors in terms of their practice, it can have benefit to patients in terms of getting results more comprehensively in a shorter timeframe and it can have benefit to payers because they can get informatics or information at a much lower cost basis than today it’s currently available and thus save them money. So we think we have a system, a formula that is going to be very important to the marketplace and we will spend behind it as our capital capabilities improve. Obviously so much of this will depend upon the level of capital that we are able to build within our reserves. Right now we are getting that to a healthy level. Hopefully, as we move through the year, if our divisions maintain their financial responsibility as we’ve attempted over the last year or two to drive them towards. We will have businesses that are cash flow positive that we will be able to drive a healthy business format in terms of development, manufacturing and marketing of products. We will use this capital to expand that product base. Obviously if we are fortunate enough to get some extraordinarily large awards in this process, we will have to rethink and perhaps look at different options for the utilization of that capital but that is a problem that we would welcome and we’ll deal with at that point in time.
Norm Hale: Absolutely. I think you guys are really showing some improvement in the various endeavors that your company is embarked upon. Are you also relative to any of the divisions in the company working on potential joint ventures with other parties?
Barry Weiner: Categorically yes. Part of our strategy and I alluded to that a bit in my commentary on the clinical lab and its emergence as the go-to marketer of tests within our region. We are being confronted and in dialog today with a number of parties as I just mentioned to you concerning the distribution, the validation, the assistance in development of products that may have important consequence in the clinical diagnostics industry. The mere fact that we have a enterprise that today is so centric, so important in the largest both academic and financial diagnostic market in the United States gives us a very strong reason for people to speak with us and we are engaging in those dialogues because we believe that they can be transformative as we grow and build our business. In terms of our platform and technology developments, we also see interesting potential collaborative opportunities. I’ve mentioned historically that the AmpiProbe platform has utility not only in human healthcare, it has application in veterinary diagnostics, it has application in bio warfare utility, it has application in water and product purification, all these areas are outside of our targeted direction and potentially offer avenues of both collaboration, licensing or partnering and we are exploring them today. We’re fortunate in as a company, we’re not a single product entity. I think our IP estate our historical product development activities is showing that we have had a history of consequential platform technology development that is being used across the industry today in many product lines and the new products that are emerging today such as the AmpiProbe and FlowScript we believe will offer equal opportunity and value into the future in other areas and we will be exploring partnerships in those areas.
Norm Hale: Excellent. Barry, on AmpiProbe, are you still having ongoing dialog with the regulatory authorities?
Barry Weiner: We are awaiting. I think to the best of my understanding today our submissions have been completed. We believe that New York State is in the process of evaluating that. We’re just waiting for the results. It’s been a long time. It’s been a complicated test, we chose that one of the most difficult analytes to be the first and we did that purposely because that will be the groundbreaker for the others to follow. I think all issues associated we’re optimistic that this will emerge.
Norm Hale: Okay. Assuming that you guys do get approval that should be an additional driver of improving margins for the company, correct?
Barry Weiner: It will be a significant driver of margins not only in our clinical laboratory, but as a key product line and shift in business direction for our life sciences as we morph our life sciences from a research products marketer to a marketer of diagnostics, it will change the margin dynamics of Enzo.
Norm Hale: That’s all I have got here Barry, you guys are doing a good job, thank you very much.
Barry Weiner: Thank you very much, thank you.
Operator: There are no further questions at this time. I would now like to turn the floor back to Mr. Weiner for any additional or closing remarks.
Barry Weiner: Thank you for joining us this morning for our year-end report. We’ve been very pleased, excited about the results of the past year. We are looking forward to our first quarter, which will be emerging in mid-December to share with you the progress as it unfolds. We want to thank everyone, all of our loyal shareholders for supporting us as we now are seeing the turn in our business and the realization of the trends and the strategies that we’ve been working on for the last two years or so. It’s a very encouraging period and one that I can tell you from internally has energized the staff of Enzo. We are looking forward to fulfilling the strategies that had been presented to you and I think the results today demonstrate the first critical steps of achieving those goals. Again, we look forward to chatting with you in December. Thank you.
Operator: A replay of this broadcast will be available until Tuesday, October 27 at 12:00 midnight. You may access this replay by dialing 1-800-585-8367. The PIN number is 53805533. This replay is also available over the internet at www.enzo.com. This concludes today’s teleconference. You may disconnect your lines at this time and have a wonderful day.